Operator: Thank you for standing by and welcome to Sandfire Resources FY 2024 Financial Results. [Operator Instructions]. I would now like to hand the conference over to Mr. Brendan Harris, Chief Executive Officer and Managing Director. Please go ahead.
Brendan Harris: Hello, and welcome to our financial results call. I'm joined in -- here in Perth by my executive team. And we'd like to acknowledge the traditional custodians of the land on which we stand, the Whadjuk people of the Noongar Nation as well as First Nations peoples everywhere we conduct business. We pay our respect to their elders and leaders, past present and emerging. I've spent a great deal of time reflecting on the importance of cultural heritage and the enduring connection traditional owners have the lands on which we operate since I was first notified of the historical disturbance of artifacts scattered at our now closed Monty Mine. There's so much more we can learn about their connection to country and the richness of their cultures as we seek to build a greater understanding of the importance of cultural heritage right across our global organization. I'd be pleased to take questions on the work we're doing to rebuild our relationship with the Yugunga-Nya and deliver on the promises we've made to them. Make no mistake, this is a long-term commitment, and I'm particularly grateful for the time that Yugunga-Nya have spent with us on country, and I look forward to being back in Meekatharra very soon. I'll now start by providing a brief overview of our year before handing over to Megan, our CFO, for a more granular explanation of our financial results, and I'll then conclude by providing a snapshot of the future. Looking back over the year, we have achieved a great deal. In fact, it's one of the best years professionally, I can remember, notwithstanding some of the challenges. We've maintained our TRIF at 1.6. Nothing is important. Nothing is more important than the health and well-being of our people and the communities we're part of. Our ELT and Board now have more than 40% female representation. And representation in our broader senior leadership group has risen to almost 32%. The participation rate in our employee survey increased to 84% for an equally pleasing 84% engagement score. We secured 73% of our stationary electricity requirements from renewables, and we've signed an agreement for the construction of a dedicated solar facility at MATSA that will supply around 25% of its electricity requirements into the future. We're passionate about the need to decarbonize and we're making real progress. And of course, we increased copper equivalent production by nearly 50% to 133,500 tonnes on the back of the near faultless ramp-up of Motheo and record performance in MATSA's underground mines, all the while remaining disciplined, controlling costs and capitalizing on higher prices to deliver a sharp reduction in our net debt to $396 million at year-end. Megan, over to you to bring our numbers to life.
Megan Jansen: Thanks, Brendan. I'm pleased to present our financial results for FY '24. As Brendan said, we have achieved a great deal. We have delivered strong operating results, and accordingly, we have seen an improvement in our financial results. At an operational level, the exceptional ramp-up of Motheo in its first full year delivered a 47% increase in group production to 133,500 tonnes. This, together with consistent production at MATSA as an unrelenting focus on costs, underpinned a 16% increase in sales revenue, which delivered a 40% increase in underlying EBITDA to $362 million, and an underlying loss of $5.5 million for a statutory loss of $19.1 million. This included a return to profitability in the second half and a reduction in our net debt to $396 million at year-end. Digging deeper, operating discipline and robust cost control was a feature of these results, as our MATSA team continue to mitigate broader inflationary pressure and mine operating costs declined to $72 per tonne of ore processed, which was 5% lower than the prior year. The operation benefited from a near 45% reduction in power costs and the optimization of consumables usage, all of which abated the impact of adverse foreign exchange rates. Motheo reported an underlying mine operating cost of $42 per tonne in its first year of operation, broadly aligned with guidance and reflecting good cost control. As noted earlier, our underlying EBITDA increased by 40% to $362 million. This is only possible because of the commissioning and ramp-up of Motheo contributed around $179 million in its first year of commercial production, of which $125 million was generated in the second half at an operating margin of 57%. Below the line, our D&A expense of $304 million continues to reflect the acquisition of MATSA in FY '22 and the initial depreciation of Motheo having achieved commercial production. D&A is expected to increase to $313 million in FY '25, largely driven by an increase in mining activity at Motheo and an increase in the operations capital base. Our overall underlying net interest expense of $60 million reflects our level of debt and the margin embedded in our various finance facilities, noting interest expense associated with the $60 million A4 mine development will be expensed rather than capitalized when the open pit achieved commercial production planned for the end of the December 2024 quarter. Our underlying income tax expense of $4.5 million was impacted by the cessation of operations at DeGrussa, which limited our ability to offset tax losses in Australia. Looking to FY '25, the group's underlying effective tax rate will continue to be impacted by the limited ability to recognize benefits associated with tax losses in Australia and the U.S.A. With regard to our balance sheet, we ended the period with a cash balance of $183 million and available credit of $121 million. Pleasingly, net debt declined to $396 million at the end of the year, supported by the 40% improvement in underlying EBITDA. We also made significant progress to modernize the structure of the group's debt facilities in FY '24 by establishing a $200 million corporate revolver facility, increasing the financial flexibility of the group and reducing our near-term repayment profile. These excellent outcomes give us even greater confidence to invest in the future of our business. Total capital expenditures decreased significantly in the year to $210 million as construction of the initial 3.2 million tonne per annum phased development of Motheo was largely completed in the prior financial year. A cumulative $40 million of capital expenditure was carried over into FY '25 as a result of border timing differences and the deferral of waste stripping at Motheo, as we further optimize the mine plan seeking to bring forward metal production into FY '26 and FY '27. Mine development expenditure in the year included $77 million at MATSA as we continued to prioritize underground development. No dividend has been declared in respect of FY '24 as we prioritize debt repayment and ongoing investment in the business. With that, I'll hand back to Brendan.
Brendan Harris: Thanks, Megan. Let me run through the scorecard we'll use to focus our efforts to measure performance in the coming years. Safety. This will always be an area where we must challenge ourselves to do better until we have an injury-free workplace. Production. We've all but banked our higher order commitment to increase copper equivalent production by more than 50% in the 2 years to the end of FY '25, so we've sharpened our pencil and committed to a further 13% increase in production this year to 154,000 tonnes. There's no change to the guidance we provided for Motheo on the recent site tour, while production at MATSA is expected to increase by 4% to 95,000 tonnes as our team targets record throughput in our processing facility and we benefit from another incremental but important increase in recoveries. Costs. We'll keep working hard, as Megan mentioned, to mitigate the impacts of inflation. At Motheo, economies of scale, as we sustained the expanded 5.2 million tonne per annum nameplate rate over the full year, are expected to offset upward pressure as salaries and wages rise alongside an increase in maintenance costs in the operations second year for an unchanged operating unit cost of $42 per ton. At MATSA, some of the gains realized last year are expected to unwind as stope turnover increases by around 20%, giving rise to a 4% increase in MATSA's unit cost to $75 per ton. Capital expenditure. Megan's already flagged the resequencing of $40 million of investment that carries over into FY '25, which sees total CapEx remained elevated at Motheo at $96 million. This is most evident in the stripping profile with another $56 million to be capitalized as we complete development of the open pit at A4. At MATSA, the risk-return trade-off for underground development remains compelling and we're planning to commit another $79 million in FY '25 to open new mining fronts and further the increase degrees of freedom. This includes gaining access to San Pedro and Olivo toward the back end of the financial year. Of course, this requires investment in additional ventilation. And we're also set to commence Phase I construction of the new $35 million tailings facility in Q3. Collectively, these important commitments will see MATSA direct just over $40 million for sustaining and strategic projects in FY '25. We're also accelerating our drilling efforts at MATSA and Motheo with exploration expenditures that arise by 2/3 to $40 million. These programs are based on discrete sophisticated plans assigned to establish a minimum 15 years of life at both operations within 5 years. I really encourage you to take a look at our accompanying materials that illustrate the maturity of this work. For example, at MATSA, we've prioritized individual targets at Magdalena and Aguas Teñidas on the basis of a 3D block model and estimated NSR values. I was only recently on site in Spain to review progress firsthand, and it is becoming clearer to me that we have established a tangible pathway to unlock material organic value progressively over the coming years. So in conclusion, Sandfire is now truly a global company. It's transformed. We have significantly derisked the outlook with the successful development and ramp-up of Motheo and the modernization of our balance sheet. We've started to harvest cash. We are unapologetically long-term copper bulls with scarcity of flat pricing as described by others earlier this week, deemed a distinct possibility. Rest assured, we won't get carried away. Our unchanged strategy is intentionally simple. It focuses on the basics. Our C1 unit costs are more than competitive and we're determined to use shareholders' funds wisely as we return our balance sheet to a net cash position. Thank you to everyone on or connected to the Sandfire team for a memorable year. Can we please have the first question?
Operator: [Operator Instructions] Your first question comes from Kaan Peker with RBC.
Kaan Peker: Congrats. Two questions. First one's on the CapEx of the Motheo. $31 million of sustaining strategic and you specifically called out debottlenecking activity to optimize the plant. Can I please ask what this relates to, given that you've already commissioned a filter press in July?
Brendan Harris: Yes, perfect. I'll pass to Jason. I think what you saw in, obviously, Q4 of last year is that we proved we can run this facility above 5.2%. Like many of you on the call, real challenge for us is to continue to dream and believe we can do much more than that in the fullness of time. We certainly haven't wanted to set ourselves above that's too high, but we still have a high degree of confidence. And what this is all about is really making sure that we understand where the constraints sit and then progressively alleviating them. So we can, as all becomes available, support higher rates of throughput, again, if they're achievable. But maybe, Jason, you can go into some of the specifics.
Jason Grace: Yes. So, Kaan, specifically, what that includes for the year is $6 million, and that is for basically additional concentrate thickening capacity at the back end of the plant. Now the driver of that, if we look at our crushing capacity, our grinding capacity and flotation capacity, we're able to do higher than 5.2 million tonne per annum rate. We know that from our experience from Q4 of FY '24. If we look at it, and particularly if we are to maintain average grades over the life of mine, so i.e., sitting just above 1% copper, we do see the overall bottleneck being at the back end there and particularly in the concentrate handling. And we've talked about it before there as well with the installation of the new filter press there. We do have excess capacity there as well. We've designed that to make sure it can meet all of our future requirements. So at this stage, we're still working through the details around that, but we've made provision there for around about $6 million to take note of that back end and particularly our concentrate handling capacity.
Brendan Harris: Thanks, Kaan.
Kaan Peker: Sure. And the second one, good to see a step-up in exploration expense or effort, less so expense, but just wondering, Motheo, it seems like the T3 footwall is becoming more of a focus. But yes, maybe if you can sort of talk to the possible staging of that. I don't want to sort of preempt any results, but also when should we start to see some of those results come through?
Brendan Harris: Yes, good one. Again, I'll pass back to Jason. But I'm sure Kaan, you'll understand that if there's an area, these days, that lawyers brief me on very heavily, it's anything that could compromise the JORC Code. So we're very, very careful in terms of what we disclose, make sure we have a sound basis, but also what we talk to on calls such as this. But I think it's not about overemphasizing the T3 footwall. I think what we've tried to explain today is that we have a far more sophisticated understanding of the geology in the Iberian -- the Kalahari Copper Belt today, particularly, the last 12 months has seen an order of magnitude step change in that understanding for a lot of reasons. Most of all, we understand the structures we believe now that are actually controlling mineralization. And that's what's really opened up the potential. There was always an area within the T3 mine and some intercepts that could never actually be solved, if you like, in the ore body model. We now understand that. And I don't want to suggest that we're overly brilliant. Part of that is -- the great thing about open pit mining is when you open it up, you can see the structure is in the footwall. What Jason, I'm sure will talk to as well is one of the nice attributes is that the walls are proving to be very, very stable. They're very robust. And we arguably designed them in quite a conservative way. So it's not just about drilling to understand the T3 potential, it's also what we see is the distinct possibility to steepen up the wall and therefore, extract additional ore in a very capital-efficient way. But maybe, Jason, if you can just give a sense of timing.
Jason Grace: So Kaan, we've been undertaking drilling of that target zone there. It really commenced in the second half of FY '24. What we have done is confirmed our interpretation. So we're extremely happy about that. And we are currently undertaking more drilling to actually firm up those interpretations and enable that to potentially come into our -- an updated mineral resource estimate that we expect to release potentially some time just after midyear FY '25. So in terms of that, we expect that we will provide more information to the market as we complete that work.
Brendan Harris: And I think, Kaan, as perhaps one way, I think, about it is that we have some very identifiable, tangible programs underway right now to further enhance our, call it, mineralized ore resource understanding and position in Botswana and that is the T3 foot wall drilling. It is the A4 extension drilling. It's the infill drilling that we'll do over A4 over the coming year. And that will edge us towards our aspirational goal. Beyond that, and Richard can certainly talk to it if people are interested, we then get into very much that regional drilling, and that's where this deeper understanding of the basin is particularly critical, and we believe puts us in quite a unique position. When I then step to MATSA, the difference there is that we have hopefully shown you today that we have an incredibly granular plan based around an existing resource to test the extremities of both Magdalena and Aguas Teñidas and it's based on bottom-up fundamental work, which, I think, is a very tangible pathway, again, to our aspirational goals within 5 years. So I know Richard will be very happy to talk about that if people are interested.
Operator: Next question comes from Mitch Ryan with Jefferies.
Mitch Ryan: Just wondering if you can remind me of the timing for news flow that will support Slide 18, where you talk to bringing forward some of that higher-grade metal into sort of FY 2017, plus or minus the news flow of what would lead to you being able to put some more meat around that?
Brendan Harris: Yes. Look, it's really just the passage of time. We've actually done a lot of the work, the rescheduling and optimization of the pit shells is, obviously, in our life of mine plans. We're working through the permitting for the Managed Aquifer Recharge project at A4, which will then give us a greater ability to reinject water and we think that's effectively imminent. As those things come to pass, I would hope as we move towards the middle of the year, perhaps the half year, quarterly, or financial results, we'll be able to provide somewhat of an updated and optimized profile. We've said before, we don't want people to get too carried away. Remember that it will take a period of time before we can bring, if you like, the high grade, sort of run of mine ore in to fill any additional throughput that we confirm. But what we're really hoping is the sorts of numbers that we're achieving this year, that we can hold those through that '26/'27 period. And obviously, that will be particularly important for us. If you look at the number of -- I think it's '27, just closing that gap. It's tens of millions of dollars of revenue that's there for the taking.
Mitch Ryan: And my second question is, can you just remind us of the balance of the franking credit account that sits inside Sandfire?
Megan Jansen: Yes, Mitch. It's in the vicinity of $300 million as at the end of June. And we do have sort of further usual disclosures around that in our financial statement note disclosures to the account.
Brendan Harris: Yes, we can send that out to you, Mitch, it's in -- it's fully disclosed in the annual report that's been released today. And what we'll do is, if you don't mind, we'll just come back to that through the call. I'll just give Megan a chance to find it.
Operator: Our next question comes from Matt Chalmers with Bank of America Securities.
Matt Chalmers: Brendan, Megan, congrats on great results. Just a quick question on the guidance for the C1 costs for next year at MATSA. That by-product credit, if you could just touch on some of the assumptions underlying that. Is that more a function of the mine plan in terms of higher zinc recoveries? Or is that a view on zinc prices? How are you thinking there?
Brendan Harris: Yes. Look, Jason, why don't you start and I'll carry on after that.
Jason Grace: So look, I'll touch on zinc production in particular. So if you look at it, we have guided that we will be producing higher zinc going forward in FY '25 comparing to FY '24. Now the key drivers of that isn't driven by grade. So if you look at our guidance materials issued for -- with the Q4 results, in essence, we are maintaining a -- pretty much a flat zinc grade year-on-year between '24 and '25. The big driver of that difference in terms of zinc production is we are proportioning and planning on processing a higher proportion of polymetallic ore during that period. So year-on-year, I think from memory, it's roughly about an increase on 350,000 tonnes. So -- and look, and as an add to that, we are also forecasting about a 1% increase in that zinc recovery.
Brendan Harris: Thanks, Jason. And I guess I understand why people focus on C1 because it's the best way of comparing companies across the industry. I just really encourage people to look very closely at the granular cost guidance that we give in our reporting around our operating unit cost because that is something that isn't influenced by other factors, particularly by-product credits and price. And I think that's something that we certainly focus on in terms of how we hold ourselves accountable internally for what we must deliver.
Matt Chalmers: Yes. Understood. And just one last one. Just on the desire peak year as much as possible before switching to dividends. I mean is there a -- is that still the case in terms of you'd like to fully pay off the debt? I mean is there not some level of a healthy level of gearing that you'd like in the business in terms of the longer-term cap structure while still paying out a div?
Brendan Harris: Yes. Look, great question. And I don't want to sound flippant, but it's not a conversation we've really felt we need to explore deeply at this stage because it's clear to me that the most important thing for us to do is to de-gear and move back towards net cash. I have a personal view that mining companies historically have underestimated the impact on your cost of capital, if you compound what is deep operating and cyclical price leverage with financial leverage. I don't believe, personally, that it is actually the way to optimize our capital structure. But again, we'll be obviously pragmatic and we'll continue to consider the outlook. The only other thing I'd say is one of the lessons in life for me is always be very clear that you, when contemplating dividends, should be contemplating returning cash that's on the balance sheet, not cash that's prospective or you're hoping that you'll generate. Because in this industry, it has a very, very I guess, well-known habit of biting you in the backside if you get ahead of yourself. Just before we move to the next question, sorry, just Mitch, going back to your -- just on Page 127, there's a small note, I think, 17 to the accounts in the annual report. So Page 127, that just describes the franking balance. Thank you.
Operator: Your next question comes from Daniel Morgan with Barrenjoey.
Daniel Morgan: Brendan and team, just a question on your production guidance over the next 12 months. Is there anything you might call out with regard to sequencing of that production through the year? Like, is there any particularly lumpy items of grade or production one way or the other as we sequence through the year.
Brendan Harris: Yes. Good one. Dan, thank you and I appreciate the question. This is one, I know Jason is very eager to talk to. I guess, unfortunately, it's probably not as exciting as it might have been in prior years because, I think, there's less volatility I guess I'd only make the observation that in our operations, we're typically not mine constrained. And so there is -- in any guidance like this, there is the reality if you have any short-term, I guess, perturbations in mine performance, you will see that ultimately translate through to, I guess, a different outcome in terms of the weighting of production from quarter-to-quarter because we have spread capacity to catch up and so on. But just in terms of our underlying plans as we put them here today, Jason?
Jason Grace: Yes, if I start with Motheo, as Brendan said, it's pretty boring. It's -- we expect it to be quite flat and consistent quarter-on-quarter throughout the year. And if I look at MATSA, MATSA copper should be consistent, throughout the year, as well or relatively consistent. Zinc, for FY '25, I would expect Q1 to be about where we landed there with Q4 for FY '24 and then stepping up slightly and then being, if you like, averaging out over the final 3 quarters.
Daniel Morgan: Okay. That's very helpful. And perhaps just an update on how your planning is going towards building a ROM stockpile at MATSA. Can you just provide an update on that?
Brendan Harris: Yes, I think if you look at the numbers through the 2024 financial year, you'll see that we ran the mine at, obviously, higher throughput processing facility, and we built those stocks. We're not expecting to materially -- we will see some movement, and I'll pass again to Jason and Megan can supplement that from a financial perspective. But there's a limit, I think I've mentioned before, to how much above ground stocks you can hold in the Iberian Pyrite Belt, particularly where we're operating because of the amount of pyrite in the ore and the propensity for it to oxidize and potentially self-combust if you leave it on the ground for too long. So there is a limit to how much that we will build. But maybe, Jason, any specific nuances there?
Jason Grace: Yes. Look, we achieved our target. We actually exceeded the target on a tonnage basis at MATSA for FY '24. Now having said that, we were focused on producing metal, particularly in Q4. So it -- that material tends to be at the low grade end. Our challenge going forward is to make sure that we're building out some higher grades and better quality ore in those stocks as we progress throughout FY '25. And particularly, if you look at our guidance, we are guiding that we will produce, from an underground mining basis, at 4.7% and we'll process at 4.6%. So my expectation, throughout the year, is that we'll increase those stocks slightly, right? And we'll improve on the quality of that material to give us more of an insurance policy.
Brendan Harris: Yes. I think Jason and I have had some fairly honest conversations, and it's important they're all stockpiles and not just stockpile. So it gets back to making sure you've got the right material on the pad rather than any material. So that's a big focus for us.
Operator: Your next question comes from Adam Baker with Macquarie.
Adam Baker: Just touching on exploration again, exploration expenditure ticking up to $40 million, which seems fair, stepping up year-on-year. Just wondering what you consider a meaningful organic exploration expenditure moving forward, keeping in mind your target of having a 15-year reserve life at both MATSA and Motheo within the next 5 years.
Brendan Harris: Yes, good. And look, I'll pass to Richard because I know he's very keen to talk about this. I wouldn't underestimate the amount of work that's gone into that plan. I've not seen a plan at that level of granularity in terms of resource extension work. I think it's fair to say, at MATSA, so when you look at the slide that we've put in the presentation, you can probably imagine that, that's going to be much more of a grind, a really enjoyable grind, but more of a grind that's just going to roll on over a long period of time. Whereas I think I've mentioned before Motheo, has got the infill extension drilling we talked about earlier, supplemented by regional work. And I would like to think that, therefore, the spend at Motheo has the potential to ramp up substantially if and when we make the next major discovery that's going to feed the Motheo hub or potentially justify another hub down in the southern areas. So I think it's very hard to give specific guidance, but that should give you a sense of how I think, directionally, things will trend. But maybe, Richard, a good chance to just dig into that MATSA plan and obviously how it's likely to play out over time.
Richard Holmes: Yes. Thanks, Brendan. As Brendan has mentioned before, we've got a very high degree of confidence in the plan at MATSA. We've now been operating there for almost 3 years. So our ore body knowledge has grown and improved over time, and that's been well reflected in our resource and reserve statements over the past couple of years. So the amount of effort that's gone into developing this plan is significant. Every aspect of the ore bodies and the geological models has been scrutinized. We've developed models for ore body extensions, near-mine targets, [feasi-fied] NSRs associated with them. We've built optimized plans and then all the way down to the -- the sort of the minutia of the drilling being planned and scheduled over a significant number of years. And then you have to think about the context of this is that we're operating in -- the drilling providence, the operating mine. So there's the complication there of sticking in with development, event services, et cetera, et cetera. So it's going to take time to deliver, and that's where Brendan goes -- the grind that is almost the right way to describe it. So we expect to be consistently undertaking this activity over 5 years. We don't think the meters are pretty consistent year-on-year. Looking forward to this year, those 100,000 meters, they're going to be split roughly between sort of 60% on mine exploration and 40% on resource infill. That's a big step-up from the previous year. So we're really hoping that this -- the plan that we've got with the high degree of confidence, that we can deliver those long-term results.
Brendan Harris: Yes. And we're already doing this. So I mentioned I was in Spain, I was looking at core that's drilled into the heart, the base of the MATSA 2 ore body and obviously, visually looking at mineralization. I won't go further in that. But I think 1 of the nuances here is that -- and it's always -- one of these dangerous artifacts of what we do as miners is we love creating images, which create a perception of an ore body shape. The fact is the ore body at MATSA is typically open in almost all directions, and you've seen that just in the early periods where we've discovered San Pedro, we've discovered Olivo. This is even not looking for new zones. It's just drilling into the open extent of the ore body around the halo of what we already know exists. So again, it's a much more tangible plan. I've sort of likened it in the past, as you know, to the komatiites and the nickel industry in Western Australia that persisted for decades beyond where some of the majors actually were interested. So we're still very, very excited and it's not by chance that we make the mention that the Romans, and even well before Romans, a time they were extracting metal from the Iberian Pyrite Belt, so I think it's highly unlikely that we're not operating there in the decades to come. We just got to do the work.
Adam Baker: Just quickly, secondly, just maybe on Black Butte. Now that you've got a significant exploration program underway this year. And then you've made a kind of potential investment decision over the next 18, 24 months, would that update the feasibility study come in tandem with that? Or is that something we could expect earlier?
Brendan Harris: Yes. I think on Black Butte, again, it gets back to there are limitations in what you can and can't do, because there's got to be a sound basis for any reserves and reserve work that you disclosed rightly. And so what we're really doing at the moment is we're drilling into the lower copper zone. I think you can see the results speak for themselves. We're getting significant intercepts and obviously, very high-grade intercepts at that, which are giving us a lot of confidence about the potential of the lower copper zone. In parallel, Ian Kerr, who was the chap who effectively drive the successful instruction and ramp-up of Motheo, he's now on that project. In parallel, we will be working with the team to support the development of the various studies that are required such that we can, hopefully, in around that time frame towards the period where we flagged, we think there'll be a decision point, that sort of 18-ish plus or minus months, not only be able to provide updated resource reserve information, but also an updated assessment of the economics. And then for a Sandfire perspective, also then with our Board, determining what we think the right pathway forward is for this project and Sandfire's direct involvement in it or otherwise. In terms of the cost, maybe just -- Megan?
Megan Jansen: Yes, just to add to that, Brendan, in terms of the cost we've factored into guidance, included in our broader exploration spend of $40 million is approximately $12 million in relation to Black Butte, and that's really effectively to update key elements of the prior feasibility study completed on Johnny Lee and primarily drilling spend. And the idea is that we will then pass through a toll gate later this year. And at that point, if things are positive, then it would be a likely increase in cost required. But we'll toll gate that through to the next stage of investment.
Operator: [Operator Instructions]. Your next question comes from Sam Catalano with Wilsons Advisory.
Sam Catalano: So I just wanted to asked about -- I noticed in the presentation, there's no reference to the Sotiel stand-alone study. Just wanted to get an update on the status of that. And then more broadly, I guess related to that, I understand, you made very clear that the preference is -- or the focus is on increasing flexibility and reserve base at MATSA. But what are your broader thoughts on adding processing capacity in the region with a view to that potentially providing a step change in the value proposition, but MATSA as a whole?
Brendan Harris: Look, that's a really good question, Sam. And maybe if I just try and tackle that in a few different ways, and I'll get Jason to come back to Sotiel specifically, where, I think, we've formed some specific conclusions in terms of the likely metallurgical route, if you like, or path forward in terms of processing. And again, Ian Kerr, I mentioned earlier, is working with the team there to support the thinking. So I'd like to step back. I've mentioned a number of times that we think the Iberian Pyrite Belt's got enormous reserve and resource potential and opportunity. And we think that having the most modern processing hub in that area, again, is a real strategic advantage for us. First and foremost, price, #1, is life. So it's extending the known life, and we need to deliver that because, I think, that is the best way and most capital-efficient way for us to unlock value for our shareholders. It also means we can plan better for the future. It also means you can take an even longer-term view in terms of the community-type projects and benefit that you believe you can deliver. I think what goes hand-in-hand with that is we've talked about some of these near-mine opportunities, inorganic opportunities that sit with private entities in the region. We're continuing to have very good discussions with some of those, and we remain very hopeful that there's a path forward because we believe we have the only logical processing route to market for those projects. Beyond that, I think, to your point, as we are successful and over time, as we unlock, hopefully, we believe, additional life potential, there will always be a question mark at some point as to what is the optimum level of processing capacity. I think it's way too early for us to contemplate that. Again, let's get the life and let's create that problem. It will be a nice problem to have. And I think, again, that probably leads to Sotiel. We still see Sotiel as a place with enormous potential. Again, I mentioned was in Spain a few weeks back, and when you go and look at Sotiel, you realize how large the resource is and how much is still unknown about it. We only drilled Elvira in recent times, really, because there was no other available footprint at the time. And we discovered some of the highest grades that exist at Sotiel, and there was not a lot of science in that. And so the amount of work we've put into Aguas Teñidas and Magdalena, we need to start applying that level of thinking to Sotiel. We know there's still potential for lateral extensions of ore bodies such as Elvira. So we need to do that work. But I think in terms of the more zinc differs, if I can put it that way, ore bodies are -- the characteristics of that southern Iberian Pyrite Belt, finer grain, more zinc differs. We've been thinking a lot about the ways to unlock that. And perhaps that's where I'll pass over to Jason with regards to hydromet versus batch processing and, I guess, optimizing it for more of a zinc mine than what we do at the moment as a blended copper gap filler.
Jason Grace: And Sam, look, I'll probably just take a step back there and build on some of the themes that Brendan has just touched on. If we look at Sotiel orebody as compared to Aguas Teñidas and Magdalena, they are different metallurgically and they're different mineralogically as well. So they are fine engrained and it required a finer grind size and different processing, if you like, methodologies or setting there to get the most out of recoveries. So at the moment, if you look at it, we are putting Sotiel as part of the feed through the existing plant, which is optimized for Aguas Teñidas and Magdalena ore. The work that we're doing, at the moment, is looking specifically at Sotiel, which -- and let's face it, overall, it's a lower-value ore body when we compare it to the other 2. But it's also, given the processing route that we're taking, it's a much lower recovery which is really detracting to the -- further from the value. So if we look at the secret or the key unlocking Sotiel is getting recoveries up and increasing those as much as we can. So that's the work that's been done, particularly to look at conventional flotation for either a stand-alone plant or the existing plant that's better configured to Sotiel ore, but it's also looked in some of the things that Brendan mentioned, which is the hydrometallurgical methods. Now hydromet, there's a lot of new technologies out there and a lot of people saying great things. But at the end of the day, most of those process is actually quite high cost. So the work that we've done at the moment is really pointing towards conventional flotation, which is geared up towards Sotiel as an ore body. And what we are looking at, in particular, is honing in on some of the higher grade and higher value sections of the ore body. So namely the Migollas area of the main ore body. And our next body of work, which we are undertaking this year, is really starting to do metallurgical drilling to gather more data, because there's really a complete absence of metallurgical data in some of these areas. So gathering that information and then doing further metallurgical test work to see if we can unlock that increase in recovery.
Sam Catalano: Just to follow up. So the conclusion there is there's probably -- the initial work you've done suggests there's no real benefit of perhaps trying to explore, like, a collaboration with, say, Atalaya on E-LIX or something like that for application down in Sotiel? Are you suggesting that it's the sort of high-grade conventional flow sheet, flotation flow sheet that makes more sense?
Brendan Harris: Yes. I think, Sam, what we're saying is that perhaps, in a way, we're not as advanced as an Atalaya, or perhaps as a First Quantum or as a Las Cruces with test work and study work on some of the hydrometallurgical processes. We've done some initial work. And of course, as Jason says, we observed that whilst the feasibility seems to be technically there, it's not clear what the cost is going to be. I'm actually really hopeful that, like, Atalaya are successful. They're obviously very committed, as you know. I'm a big believer that if they are successful at unlocking at a certain cost, that ultimately that technology will become available. And then, really, a whole suite of options open up for us. So I wouldn't like to say that we've landed in any position with regards to the way we could potentially benefit from the work they're doing. I think we're watching it probably as closely as you are. As you know, the E-LIX process, understandably, is somewhat akin to a black box. They're keeping it under lock-and-key, as I would if I were them. But we're watching it very, very closely, as I said, as I know you are, too.
Operator: There are no further questions at this time. I'll now hand back to Mr. Harris for closing remarks.
Brendan Harris: Look, thanks, everyone. I know it's a very busy day, and Mitch, your comment was noted. Look, as someone who loves the game of cricket. I'm a big believer you're only as good as your next innings. And whilst we believe we had a good outing in FY '24, we're focused on making sure we show up well again and perform strongly in FY '25. We really appreciate your interest. We appreciate the support of our shareholders, and we're looking forward to seeing a number of you on the road in the coming weeks. Thank you.